Operator: Greetings, and welcome to Desktop Metals Second Quarter 2023 Financial Results Conference Call. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Mr. Jay Gentzkow, Vice President, Investor Relations. Please go ahead.
Jay Gentzkow: Good afternoon, and thank you for joining today's call. With me today are Ric Fulop, Founder and CEO of Desktop Metal; and Jason Cole, CFO of Desktop Metal. Please note, our financial results press release and presentation slides referred to on this call are available under the Events and Presentations section of our Investor Relations website. This call is also being webcast live with a link at the same site. The webcast and accompanying slides will be available for replay for 12 months following this call. The content of today's call is the property of Desktop Metal. It cannot be reproduced or transcribed without our prior consent. Before we begin, I'll refer you to our safe harbor disclaimer on Slide 3 of the presentation.  As a reminder, today's call will include forward-looking statements. These forward-looking statements reflect Desktop Metal's views and expectations only as of today, August 3, 2023. And actual results may vary materially based on a number of risks and uncertainties. For more information about the risks that may impact Desktop Metal's business and financial results, please refer to the Risk Factors section on Form 10-Q in addition to the company's other filings with the SEC.  We assume no obligation to update or revise the forward-looking statements. Additionally, during this presentation and the following Q&A session, we may refer to our results on a non-GAAP basis. Non-GAAP measurements are intended to supplement but not substitute for performance measures calculated in accordance with GAAP. Our financial results release contains the financial and other quantitative information to be discussed today as well as a reconciliation of the GAAP to non-GAAP measures. I'll now turn the call over to Ric.
Ric Fulop: Thank you, Jay. Welcome to our second quarter 2023 financial results call. It was a really solid quarter of execution for Desktop Metal, and it's a very active market, including our announcement to combine with Stratasys to form the largest company in the additive manufacturing business. On today's agenda, I'll begin with highlights of our Q2 financials. I'll detail recent developments as well as highlight specific activity we're excited about in binder jetting.  There have also been a number of things said about our company and our technologies that we believe are incorrect and misleading, and we'd like to set that record straight. I will then wrap it up with some thoughts on the significance of our future combination with Stratasys and the benefits and opportunities ahead. And then Jason will provide more color on our financial results and outlook before we conclude and open it up for Q&A.  I'll start at the top of Slide 4. It was a very good quarter as we combine solid top line performance with continued cost reduction execution to drive meaningful and expected improvements from Q1 numbers. We've been focused on balancing revenue growth with improving margins. And I'm proud of what the team has accomplished operationally. And I'm very optimistic about the balance of 2023. Revenue for the second quarter of 2023 was $53.3 million, a very strong 29% growth over the first quarter of 2023. As you'll recall, we entered the year with a questionable outlook on the demand side as macro pressures with in our industry. And we certainly felt that in the first quarter.  There was a continuation of that softness into the start of the second quarter. However, quarter momentum really began to pick up, and we finished the quarter with strength. While there's still some element of caution in the environment, we're very encouraged by the recent customer activity that led to our second quarter results. This momentum gives us confidence in the early signs of a recovery and also validates feedback we've been receiving from customers that we would see an uptick in orders as we progress through 2023. In combination with this improved customer demand profile in a variety of near-term growth opportunities, we feel very good about the second half of 2023, and we're reaffirming our 2023 revenue guidance.  Meanwhile, the DM team has been laser-focused on something we have full control of, reducing our cost structure. Second quarter non-GAAP gross margins grew to 31%, expanding 1,300 basis points sequentially from the first quarter of 2023 and 435 basis points year-over-year from Q2 2022. From a gross margin standpoint, this was a record for second quarter, in large part due to our efforts in reducing the fixed cost base in our COGS. And importantly, we just completed several actions under the second tranche of our $50 million cost reduction plan towards the end of Q2. So those savings will be fully reflected until we report Q3.  As a result, we expect continued gross margin expansion through the balance of the year as we combine the benefits of this additional cost savings with expected higher revenue in the second half. We're very proud of our efforts to get gross margins back on track. We've also driven significant improvements in our expense structure in the past six quarters, which has resulted in the best quarter of adjusted EBITDA since going public. Q2 2023 adjusted EBITDA was negative $15 million, an improvement of $9.4 million sequentially from Q1 2023 and a $12.5 million improvement year-over-year.  Our adjusted EBITDA and operating cash flow losses are decreasing rapidly, and we expect to drive continued significant improvements into the back half of 2023. EBITDA is trending to our internal plans, and we remain committed to our 2023 adjusted EBITDA guidance range and achieving adjusted EBITDA profitability by the end of the year. We expect our cash burn to continue to significantly decline in line with our pursuit to adjusted EBITDA breakeven. Moving on to recent business highlights. We had excellent activity in Q2 in binder jetting and metals, which was a key contributor to our solid financial results. We continue to make meaningful advances in our production system platform, including continued commercial progress in consumer electronics.  And I'm excited to welcome Ryerson, one of the largest global metal suppliers in medical, aerospace and defense to our customer base for Production System P50. On the health care side, Desktop Health's platform of leading dental solutions continues to capture market share. For the first time, we're making our category-leading Flexcera materials available to other platforms. We recently signed a commercial supply agreement with our friends at Carbon 3D, a company that is very successful at DLP printing to offer Flexcera materials to their large dental customers' installed base. This is a testament to Flexcera's differentiated material properties, and we expect additional partnerships and licensing opportunities as we continue to find ways to monetize our portfolio of close to 1,000 patents.  Our partnership with Align Technologies continues to be another exciting opportunity for our business. And Desktop Health also recently launched a new generation Bio Plotter system with Print roll, the world's most advanced printer for biofabrication. Print roll is an innovative rotating build platform that can produce first of its kind, intelligent printed tubular tissue. Print Roll is superior to existing manufacturing processes because it can issue engineering parts with multiple materials combining polymers like peak, resorbable polymers, combined with living cells, hydrogels and oil biomaterials in a single part. This revolutionary capability can be used to manufacture new kinds of stents or grafts for the body's vascular, digestive, respiratory and reproductive organs.  Bio Plotter is a premier product in the field of bioprinting. Desktop Health's 3D Bio Plotter is the world's most cited and researched bio printer in peer-reviewed scientific and medical journals with more than 2,490 citations in over 600 peer-reviewed research papers directly produced with this system. While there are competitors that claim leadership in the marketing materials, we believe our Bio Plotter is years ahead of competing products. Case in point, the FDA recently granted approval to our customer, Chicago-based Dimension Inc. for its CM-Flex hyper-elastic 3D-printed bone.  This is the first time 3D-printed biofabrication products have been cleared by the FDA. It's exciting that the first company with such clearance manufactured products on our 3D Bio Plotter. Customers are choosing our Desktop Health biofabrication products, because we're clearly differentiated and have superior technology. This is yet another area where we have core IP that persists competitors in both extrusion and photopolymer biofabrication. At the end of this presentation, we'll include supplementary slides that display our capabilities in these products.  Turning to Slide 5. As we've spoken about in the past, we established clear leadership in 2 core print platforms that serve large TAMs as a result of their unique mass production use cases. One of them is finer jetting and the other one is for polymer printing. As a reminder, unlike competitors, our technologies leverage area-wide processes that benefit over time through Moore's Law, giving us long-term compounding advantages. Desktop Metal has carved out a very strong competitive mode in binder jet with the #1 selling binder jet products, the most experienced team in the world, incredible IP an array of end use mass production applications to differentiate us from competitors. And we've leveraged this leadership to quickly grow our installed base to the largest in the binder jet industry.  We've also grown to a leadership position in dental and health care led by Desktop Health. We've combined best-in-class photopolymer printers designed for the production of end-use parts with a leading catalog of differentiated materials that sets us apart in the market. These businesses will serve as a foundation for our growth. Turning to the following slide. We've continued to innovate and unlock three new markets: printing of forms, sheet metal forming and printed hydraulics. These unique technologies to bring additive manufacturing into new applications not traditionally accessible to legacy AM processes.  Shifting back to binder-jet on Slide 7. Desktop Metal printers are the first and only metal printing technology currently used at scale in automotive. Binder jet is now being used at scale by OEMs like BMW and where we now have parts in almost every one of their new vehicles. We were part of a multiyear [indiscernible] at BMW comparing all binder jet solutions, and we're happy to report that we're the company that won that effort which resulted in significant follow-on orders for their new generation large-format exterior binder jet systems in their [indiscernible] plant. These new systems are the fastest binder jet printers ever built with speeds exceeding 350,000 cubic centimeters an hour.  And we have many of them installed and in production at BMW today, more will be delivered by the end of the year, and we believe Desktop Metal has more end-use parts made of metal in cars today than any other additive manufacturer. In addition to printed centered parts or printed castings, in the past, I've said you can have several hundred kilograms of additively manufactured parts in a car, and we now have some customers that are starting to do this. Let me explain. Today's cars are manufactured with a process called Body in white. Since the Henry Ford days, most automobiles are made out of hundreds of sheet metal parts that are stamped cut welded and fastened on an assembly line.  Our binder jetting technology is a key enabler of a new way to manufacture cars called Giga Casting, which is led by Tesla. Giga Castings are the consolidation of hundreds of parts combined into a single giant part assembly. This allows OEMs to dramatically reduce cost, assembly time, CapEx and weight. Giga Casting also offers potential benefits for logistics and emissions reduction, increasing flexibility in the engineering of the vehicle platform and lowering the CO2 footprint. In this process, binder jetting systems are used extensively in the front end to enable high complexity geometries with very rapid iteration cycles to improve the economics of vehicle manufacturing.  We now have several customers using our printers which supply Tesla's vehicles built with Giga Casting as well as other OEMs such as Toyota, Volvo, Mercedes-Benz and others who are fast following to launch vehicle platforms to leverage these new process. The use of binder jetting is rapidly increasing as future Giga Casting programs look to leverage even higher geometric complexity parts that could make die casting with internal core printed with binder jet. Turning to the following Slide 9. This is an image of a Tesla employee observing a Giga Casting mold that was printed with our binder jet systems by our customer, [indiscernible]. Note that the image on the back of the gentleman's T-shirt is a picture of a Giga Cast part. People don't usually make T-shirts for things that aren't important.  Again, this process allows Tesla to assemble a vehicle in 1/3 the time versus some of their competitors by eliminating thousands of wells, hundreds of sheet metal parts and hundreds of tools. aside from the significant CapEx savings for vehicle OEMs. Another major benefit of binder jetting in this new way to make cars is that during the design cycle, changes to the vehicle can be iterated in as little as one day versus almost more than 18 to 30 weeks for traditional die-cast tooling processes. Turning to the following slide. I'm highlighting some of the strategic growth markets for binder jet that are now on production and starting to scale.  We just talked about enabling Giga Casting for automotive highlighted on the left side of the slide, outside the pioneering work from Tesla, other companies in marine and aerospace markets like Mercure Marine, Airbus, Eaton and Rolls-Royce are successfully consolidating assemblies with larger binder jet printed castings to change production economics of their products. And on the right side of the slide, here's an example of a multibillion-dollar market that has not yet been able to embrace additive manufacturing because of the limitations of previously or printing technologies.  Through binder jetting, Desktop Metal is able to print [indiscernible] carbide at production scale. This is an enabling technology for power electronics for electric vehicles, and we have growing customer relationships with a number of companies, including DENSO and companies like Schunk, Coherent and Northrop Grumman are adopting this technology to make single crystal [indiscernible] carbide wafers in all parts for space and semiconductor manufacturing.  And like I mentioned on our first quarter call, another application of our binder jet printers in production, our 3D printing of TriSo high-assay land-rich uranium nuclear fuel that couldn't be made any other way. This is a key enabler for fourth-generation MMR and SMR nuclear reactors. And just last Wednesday, [indiscernible] Lockheed Martin held a press conference with our customer, BWX Technologies to showcase the first of its kind, TriSo nuclear thermal propulsion powered rocket that will be demonstrated by 2027.  We're incredibly excited to be in production and fully qualified in these high-value applications in semiconductor and used parts as well as being at the center of the future of automotive production. The opportunities in binder jet grow with each passing month, and Desktop Metal is better positioned than any company in the 3D printing space. Turning to the next page, Slide 11, is here for your reference. We're not necessarily going to walk you through it, but are prepared for those that are interested in this level of detail during our Q&A or after the call. As part of our pending merger with Stratasys a lot of things have been said recently in the public forum about Desktop Metal and binder jetting that are inaccurate or misleading. The facts are, binder jetting is the fastest process for 3D printing parts.  Binder jetting can make fully dense metal parts, it has more material flexibility than welding processes. It can make parts in many materials that will never be available to laser. As a result of binder jetting speed and throughput advantages, it delivers the lowest cost parts and is quickly gaining share in the added manufacturing market, because it enables mass production capabilities in the new high-volume use case that you cannot accomplish with all the processes. At the end of the day, market share is the best yardstick for measuring success. And Desktop Metal has clear leadership demonstrated by revenue share in the binder jet space and in the metal 3D printing space overall.  Shifting the discussion to progress of our cost reduction efforts on Slide 12. We're 100% focused on achieving adjusted EBITDA profitability in 2023. And we outlined this call in early 2022 as a top priority for our company. And six quarters later, you can see that we're executing this plan. Importantly, we've been driving cost reduction actions without sacrificing the superior solutions we provide to our customers and ensuring their success. We're on track to achieve this $100 million in annualized cost savings by the end of the year. In the quarter, we completed six facility closures on time, and we continue to drive cost synergies from business integrations.  Actions reflected in the second $50 million tranche were weighted more towards fixed cost base in COGS, and we saw that in Q2 with significant improvement in gross margins, both sequentially and year-over-year. Also, third quarter 2023 will be the first full quarter realizing the majority of the second tranche in cost savings. So we expect continued improvements in the back half of the year and into 2024. Weak cost of goods sold absorption had been a drag in our model in the past, impacting our gross margins. We've made durable improvements to address our fixed cost base, and you should expect to see less dramatic variability in gross margins going forward.  Finally, the result of these cost reduction actions supported another quarter of sequential improvement in adjusted EBITDA and operating cash flow. This was the best quarter for adjusted EBITDA assets going public, and we expect this trend to continue into the back half of this year. We're not to our full goal yet, but adjusted EBITDA profitability and then eventually positive cash flow is in sight, and I'm very proud of the team's effort to uphold our commitment. Now please turn to the next slide. I'd like to transition to discuss our pending merger with Stratasys and our excitement about the deal. Through this combination, we're establishing a powerhouse in added manufacturing.  This is not a deal we had to do, but we believe that partnering with Stratasys to create the first AM company to achieve comprehensive scale across the entire manufacturing life cycle from designing and prototyping to full-scale mass production is a special opportunity for our combined companies. Together, we have incredible potential by combining Desktop Metal's complementary portfolio and track record of innovation and growth, with Stratasys' extensive market reach and operational excellence to serve the evolving needs of our customers. The combination will also help us drive long-term profitable growth, creating an over $1.1 billion revenue platform with sufficient scale and profitability to lead the AM industry. And over 50% of our combined revenue will be from the fastest-growing segment in additive manufacturing, as production.  Together, we will have a diversified and comprehensive portfolio with virtually no product overlap. We're bringing together complementary products and technologies that cover a wide range of industry verticals and use cases. Stratasys brings a leading position in polymer 3D printing and exceptional strength in aerospace, automotive, consumer products and health care verticals. And Desktop Metal brings its leadership in mass production of metals, sand, ceramic and restorative dental printing solutions. Our combined materials cyber is highly differentiated as software capabilities complementary across print platforms.  The combined R&D teams of over 800 scientists and engineers represent the strongest and smartest people in 3D printing. Combining our superior technical talent with more than 3,400 patents issued and pending, will allow us to continue to drive innovation for our customers and help us win growth while also benefiting from TAM expansion. Combining with Stratasys will also allow us to leverage one of the largest global go-to-market networks in 3D printing. This transaction also creates the opportunity to realize approximately $50 million in annual run rate cost synergies and approximately $50 million in annual run rate revenue synergies across the business by 2025.  The combined company will have a very strong financial profile, in an expectation to deliver over $300 million of adjusted EBITDA by 2026 and an approximately 20% pro forma adjusted EBITDA margin. And this deal accelerates that combined company's financial flexibility through our well-capitalized balance sheet to drive future growth. We're in complete support of this merger, but it's not an acquisition that some have claimed. Desktop Metal shareholders are receiving shares representing approximately 41% of the combined company in representation by designating nearly half the Board. We would not do this deal at less shareable terms, and we believe our combination with Stratasys is a superior combination and will position us to help shape this additive manufacturing industry for years to come.  However, we're a fiduciary to our shareholders. If ultimately, they decide this is not the best path for our company, we have not lost any confidence in our long-term outlook. Until this deal closes, we're 100% focused on our outstanding stand-alone prospects that include the growth and innovation that Stratasys is so attractive to. We're making steady improvements in our cost structure and are well capitalized with a plan to get to profitability on our existing cash. And most importantly, we have an unmatched portfolio of mass production technologies that is almost impossible to recreate. And we're as focused as ever to leveraging that portfolio to make our customers successful. With that, let me turn the call over to our CFO, Jason Cole. Jason?
Jason Cole: Thanks, Ric. I'll begin on Slide 15 with highlights of our financial performance for the second quarter of 2023. A reminder that we will be referring to several financial metrics on a non-GAAP basis, and a reconciliation to GAAP data is included in the filed appendix. In 2Q, we exited the quarter with strong customer demand signals as well as continued momentum on our cost reduction initiatives. Both of these gives us confidence for what's ahead, and I'm excited to walk you through the 2Q '23 results now.  Consolidated revenue for the second quarter of 2023 was $53.3 million. up 29% sequentially from $41.3 million in the first quarter of '23. Importantly, demand for DM products and services accelerated across the quarter, validating the customer signals we consistently hear. Leading revenue drivers in 2Q were metal binder jetting solutions and growth in consumables, services and subscription. Revenue was down year-over-year, partly due to efforts to deemphasize product lines with lower quality revenue prospects and/or lower gross margins. You'll recall, we entered the year with headwinds that carried into the start of 2Q. As we conveyed in the prior quarter, in the face of inconsistent and sometimes unclear demand trends, we stay close to our customers while focusing and relying on their feedback.  Ensuring customer success is a key pillar in our strategy. For multiple quarters, our customers have validated the DM products and services create solutions to build business challenges with potential to drive meaningful and rapid return on investment. Throughout the past year plus, customers across our businesses have validated that while some decisions may be delayed, demand for DM solutions are real and would pick up as we progress through 2023. We saw this recurring customer sentiment materialize in the close of Q2, and we finished the quarter strongly following a slow start, which gives us confidence in the revenue trends for the back half of the year.  Non-GAAP gross margins expanded to 31% for the second quarter of 2023, an improvement of 1,300 basis points sequentially over first quarter of '23 and 435 basis points versus the second quarter of '22. Non-GAAP gross margin expansion was driven primarily by continued progress on our multi-quarter cost reduction efforts, helping us gain leverage year-over-year and versus the first quarter of '23. We have fielded a number of questions on whether we could get this business to above 30% non-GAAP gross margins within 2023, and we're pleased to say we were able to hold that commitment ahead of schedule before the full effect of cost of sales reductions have been realized for a full quarter's impact and before realizing the gross margin tailwinds that will follow with more meaningful top line growth.  In 2Q, we completed the closure of six production sites leasing 3Q '23 to be the first full quarter where these savings will be realized for a full quarter. From a gross margin standpoint, this gives us added confidence about the second half of '23 and beyond. Turning to the following slide. Non-GAAP operating expenses were $34.7 million for the second quarter of 2023. This represents a reduction of non-GAAP operating expenses by a quarterly total of $17.4 million since the start of our cost reduction initiatives in the first quarter of 2022, including year-over-year reductions of $11.4 million from the second quarter of '22.  Non-GAAP operating expenses showed another quarter of improvements despite making some onetime investments in sales and marketing opportunities in the quarter, where we opted to make measured investments to secure potentially meaningful returns. Additionally, as we detailed last quarter, cost reductions in 2Q '23 were weighted more towards structural cost of sales as compared to prior quarter cost reductions, where the mix was weighted more heavily towards operating expenses. Importantly, we have more opportunities to improve our expense profile remaining in the year and expect to see continued leverage in the second half.  Non-GAAP operating expenses as a percentage of revenue was 65% in the second quarter of '23, which is a year-over-year improvement versus 80% in the second quarter of '22. Note that operating expenses as a percentage of revenue was one of the lowest quarters since going public. And we entered Q3 feeling confident the trend of continued leverage will continue. We are nowhere near the top of the growth curve. So as we combine our more disciplined and efficient approach to spending with top line growth, our pathway to profitability and positive cash flows becomes clearer. Our cost reduction efforts are insulating our business, and we believe the graph on the right of this slide will continue to trend favorably over the next year plus.  Turning to the next slide. Adjusted EBITDA for the second quarter of '23 was negative $15 million, the best quarter for EBITDA since going public. Adjusted EBITDA improved by $12.5 million year-over-year compared to second quarter '22 and $26.5 million since we initiated our cost reduction plans in the first quarter of '22. We're proud of the efforts to date, but the bigger takeaway is we are not done. We want to be adjusted EBITDA profitable by the end of the year, and we've made that commitment to our stakeholders, regardless of the macro conditions and the tailwinds entering the back half of this year of seasonally higher revenue, combined with steadily declining spend support what we've been messaging.  With regard to adjusted EBITDA, our brightest days are ahead of us. We remain well funded from a cash position with $127.6 million in cash, cash equivalents and short-term investments to end the second quarter of '23 compared to $149.8 million to close Q1 2023 for a net cash burn of approximately $22 million in Q2. Excluding 2Q '22, when we last raised cash, this is our lowest cash burn since going public. We have reduced our operating cash flow burn from $56.3 million in the first quarter of '22 to $33.1 million in the second quarter of '23, again showing the cash impactful cost reduction efforts completed to date. The operating cash number excludes proceeds from the sale of property that favorably impacted cash.  Cash is tracking right to our internal forecast and with more significant improvement to come before year-end, we are in a solid position from a cash standpoint. Finally, we ended the quarter with $100.3 million in inventory. Because of some of the strength we've seen from customers, we've made investments in the quarter due to forecasted demand that we want to be prepared for in the second half of the year. However, even with these investments, we did expect inventory levels to be lower in Q2. Completing the closure of six production facilities in the quarter impacted inventory levels we have some lingering stubborn pockets of inventory we're continuing to work through.  So there's more work to be done here, and we're committed to monetizing inventory in the back half of the year. which will improve working capital and cash flows in 2023 and into 2024. Finally, moving to our 2023 financial outlook on Slide 19. While there is still some element of caution in the environment, we are very encouraged by customer activity to end the second quarter. With this improved customer demand profile and the near-term growth opportunities we see across our portfolio of solutions, we are confident about the second half of the year. As a result, we are reaffirming our revenue expectations of $210 million to $260 million for 2023. In addition, we're reaffirming our adjusted EBITDA expectations of negative $50 million to negative $25 million for the year as well as achieving adjusted EBITDA profitability by the end of the year.  We expect adjusted EBITDA losses to continue narrowing rapidly in the second half of the year as we combine positive customer demand signals in what is a seasonally favorable revenue period with continued and ongoing expense leverage. As we sit today, we understand we're trending toward the lower end of the range, but internally, we feel very positive about our plan to hit the midpoint. Our progress on cost reductions, combined with our opportunity pipeline support this thesis. We're pleased to reaffirm guidance and look forward to showcasing our results over the next two quarters. And with that, I will turn it back to Ric for his closing remarks.
Ric Fulop: Thank you, Jason. I just want to take a second to thank Jason and the G&A team for their successful efforts to drive operational improvements. Jason, you've had a significant positive impact on the company in your short time here, and I'm very grateful for all your efforts and experience. Just to wrap up, some key takeaways. First, we delivered a solid revenue quarter with a customer activity that was very strong, especially at the end of the quarter. The customer demand profile is really shaping up as we enter a seasonally strong back half of 2023. Second, we continue to execute on our cost reduction efforts to achieve adjusted EBITDA profitability this year.  We have a lot of levers to get there and confidence in our ability to get this company profitable on the cash we have on balance sheet. And finally, we're relentless in delivering for our customers. We continue to be energized by the benefits of mass production technologies that we're bringing to our customers and transforming their manufacturing environment. The long-term growth opportunity for mass production is still massive and largely unchanged from this $100 billion addressable market, we've consistently pointed out since going public. What has changed is the scale we've built at that time and the amount we've accomplished as a company. Desktop Metal has established a portfolio of mass production solutions, unmatched in the industry.  We're a category leader in many area-wide technologies that benefit from Moore's Law, like [indiscernible] and We've built an installed base to over 7,000 customers, and we're in the early innings of engagements with multiple Fortune 500 companies on a number of projects that individually could significantly approach or exceed the size of our company today. We have the largest library production materials. We have the most experienced and knowledgeable production theme in the added manufacturing space. And now we're adding business discipline and an improving financial profile that best positions us to capture this opportunity. Mass production is the future of this industry. And there is no company better positioned to capitalize on the next phase of the added manufacturing growth curve.  With that, the some questions. Operator?
Operator: [Operator Instructions]. And our first question comes from Greg Palm from Craig-Hallum.
Gregory Palm: Just wanted to maybe start off with a little bit more commentary on kind of the near-term visibility, something like the quarter ended on a high note. And with some positive outlook commentary. Just kind of curious, as you think about -- and I think, Jason, you made the comment that you think you can still get to the midpoint, which would represent a pretty big ramp from here, but what gives you that confidence? And I guess, just more specifically, any end markets, geographic areas, any sort of verticals that you're seeing the most strength and that gives you some of that confidence.
Jason Cole: Yes. Greg, thanks for the question. This is Jason. I think we have kind of -- the first half of the year underperformed across -- from our original expectations or kind of -- to be fair, it was in line with what we sort of feared, that's why we gave the really wide guidance range. we see strength across all of our businesses. I think binder jetting in particular, on the digital casting side feels pretty strong as is the metal. But we're also, as I think we spoke with you about a lot, we're really excited about the growth curve in our dental space in the formal polymer healthcare side.  So it's kind of across an array of opportunities. we're still kind of operating very cautiously, but the signals are there and the close of 2Q gives us some confidence that there's some demand.
Gregory Palm: Okay. Understood. And the P50, so congrats on the another customer win there, but can you give us some sense in, is that a system? Is that for delivery this year? And then just a little bit more commentary on consumer electronics, I think there was a bullet in the press release about continued progress, but any more commentary there would be helpful.
Ric Fulop: Greg, absolutely. Yes. So that delivery is for is for this year and then in the consumer electronics side, our customers will probably do marketing once those products are shipping to consumers. Other than that, it's hard to comment in more detail.
Gregory Palm: Okay. Fair enough. On the profitability side...
Ric Fulop: It's going as well as it could be going.
Gregory Palm: Okay. Understood. On the profitability side of things, looking at year-to-date, so you're already at, I don't know, close to negative $40 million in EBITDA. And the range was negative $25 million to negative $50 million. So it implies a pretty significant improvement here in the back half. Can you tell us how much from Q2 to Q3, what the incremental cost takeouts are? And again, kind of going back to the commentary about still feeling confident that you can get to the midpoint, that would suggest, obviously, profitability in the second half. I'm not sure if that comment was meant to be on more of the revenue side or the EBITDA side, but I just wanted to clarify that as well. .
Jason Cole: Yes, I think it's a good question, and thanks for the opportunity to explain. So we don't give quarterly guidance. So I want to stop short of saying things here that kind of give you the 3Q or 4Q quarterly guide, but I can direct you to a couple of data points that I think can help you map it out. 2Q adjusted EBITDA loss was $15 million, and it's trending down rapidly. Additionally, in 2Q, we had six production site closures, several of which were right at the end of the quarter. So I think the tailwinds we get from things that were executed in 2Q, but that show up in a full quarter of 3Q to kind of give you a sense that even if 3Q was seasonally weak, we expect continued progress on adjusted EBITDA.  And then in 4Q, we said we were aiming to be breakeven or better. If it's breakeven, obviously, there's no addition to the loss, but with a little bit of upside, we can actually neutralize some of that. So I think I'm not going to here in claim that we're going to be breakeven or better in both 3 and 4Q, but 3Q is going to be better than 2Q, and 4Q is what we said it's going to be all along.
Operator: Our next question comes from William [indiscernible], an Investor.
Unidentified Analyst: I was just wondering if it so happened that the Stratasys merger was terminated by Stratasys. How much is the termination fee that Stratasys has to payed desktop metal? .
Unidentified Company Representative: It's in excess of $32 million.
Operator: [Operator Instructions]. And our next question comes from [indiscernible].
Unidentified Analyst: Could you give me a little update on what's happening with the forest line of stuff?
Unidentified Company Representative: Yes. Yes. We have customers that continue to use the product. You could buy a shop system different for your interest -- and great product.
Unidentified Analyst: What type of uptake are you seeing in the industry.
Ric Fulop: I would say we don't break out our demand by product. We have a whole variety of products. I would say the forest product, we are still working on adapting that to the larger-format machines -- and I think that -- which are better suited for higher throughput production. And we think that as we continue that development, we're going to be able to keep growing that particular product line. We sold millions of dollars worth of forest related printers. So we're happy with the progress to date. But I think over time, it could become a much bigger business as we target larger components and furniture parts and things like that.
Operator: And we have a follow-up question from Greg Palm from Craig-Hallum.
Gregory Palm: I thought I'd ask a couple of follow-ups since it doesn't seem like there's many more. And just in terms of kind of debunking some of the thesis out there, I was hoping maybe you could just spend a minute or two on P50, because you've got now another nice win here that you're announcing. But can you give us some sense in terms of how many of these you've placed to date either beta or commercially, what we should expect in terms of revenue contribution this year? I think that would be helpful for all of us. .
Ric Fulop: Yes. I mean, several systems. And I think we're going to continue to grow our installed base. These are multimillion dollar machines. So they're expensive, but we have very good progress at the throughput that they produce parts, which is dramatically higher than the products in the market. The real target market for this type of product is very high-volume printing of parts for automotive, consumer electronics or for larger companies like [indiscernible] that can support the [indiscernible] can deliver. We continue to develop a market for those products in our -- are very bullish with the promise for that technology.
Gregory Palm: And then, Jason, just one more follow-up maybe on the cash flow statement. Do you have sort of a goal when you flip to cash flow positive? And I guess it's a 2-part question. When you achieve EBITDA breakeven or profitability, what's the lag in cash flow to achieving profitability as well? And do you have a sort of a target in mind how much cash on the balance sheet when you end up flipping to cash flow positive?
Jason Cole: Yes, that's a great question. Thanks for that. I think you're absolutely right. The cash flow does trail the adjusted EBITDA by a little bit. And I think you can draw a pretty easy correlation between the two if we just kind of track it over time. So if we're going to be breakeven on an adjusted EBITDA basis, I guess the way I'd say it is I expect the cash burn to be under $10 million a quarter. Our kind of hope here is that we can kind of turn that corner on cash flow on or around $100 million of cash, and we think we can close the year above that as kind of our internal thinking. So it's coming down quickly. And you're right that it will lag adjusted EBITDA, but not by much. So I think it sits on the heels of that.
Operator: And at this time, there are no further questions. I would like to turn the call back over to Ric for closing remarks.
Ric Fulop: Wonderful. Thank you very much for joining us today. And also thank you to the entire Desktop Metal team for all your hard work to build a great quarter. And for all the investors' interest in our company. As always, if you have any follow-up questions, please don't hesitate to contact us. And if you're in Boston, would love to host you if you want to come visit us and see our technologies up close.
Operator: This concludes today's conference call. Thank you for attending.